Operator: Hello, and welcome to the Floor & Decor Third Quarter 2021 Earnings Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Wayne Hood, Vice President, Investor Relations. Please go ahead sir.
Wayne Hood: Thank you, operator and good afternoon everyone. Joining me on our earnings conference call today are Tom Taylor, Chief Executive Officer; Lisa Laube, President; and Trevor Lang, Executive Vice President and Chief Financial Officer. Before we get started, I would like to remind everyone of the company's safe harbor language. Comments made during this conference call and webcast contain forward-looking statements within the meaning of the Private Securities Litigation Act -- Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations, projections or other characterizations of future events including financial projections or future market conditions is a forward-looking statement. The company's actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. Floor & Decor assumes no obligation to update any such forward-looking statements. Please also note that past performance or market information is not a guarantee of future results. During this conference call, the company will discuss non-GAAP financial measures, as defined by SEC Regulation G. We believe non-GAAP disclosures enable investors to better understand our core operating performance on a comparable basis between periods. A reconciliation of each of these non-GAAP measures to the most directly comparable GAAP financial measures can be found in the earnings press release, which is available on our Investor Relations website at ir.flooranddecor.com. A recorded replay of this call together with related materials will be available on our Investor Relations website. Let me now turn the call over to Tom.
Tom Taylor: Thank you, Wayne and thanks to everyone for joining us on our fiscal 2021 third quarter earnings conference call. On today's call, I will discuss some of the highlights of our fiscal 2021 third quarter earnings results. Trevor will then review our financial performance in more detail and discuss how we are thinking about the remainder of fiscal 2021 and then we will open the call for your questions. Let me start by saying, how pleased we are with our fiscal 2021 third quarter results, which build on our record third quarter financial results last year. Our fiscal 2021 third quarter total sales increased 28% to $876.6 million from $684.8 million last year. Our comparable store sales increased 10.9% in the third quarter of fiscal 2021 and 14.1% on a two-year compound annual growth rate basis from 2019. In addition, we achieved fiscal 2021 third quarter adjusted earnings per share of $0.60 per share, up 49.1% on a two-year compound annual growth basis from 2019, ahead of our expectations. Our continuing strong financial performance is the direct result of the outstanding work all of our associates are doing to serve our Pros and homeowners every day, which enable us to continue to grow our market share. We believe we are winning with our large warehouse stores that offer broad innovative trend-forward assortments in job lot quantities, which enable our Pro and homeowner customers to choose from multiple options to complete their projects on time. These benefits have been significant during the turmoil in the global supply chain, particularly for Pros, where there is uncertainty in product lead times and rising costs. While the global supply chain disruption remains challenging, we are successfully managing our inventory flow and merchandise in-stocks by being flexible with our supply chain, leveraging our diverse countries of origin and the support of our vendor and supply chain partners. Our inventory receipts outpaced our cost of goods sold in the third quarter and we saw improved in-stock levels. We remain excited about being on a path towards delivering our 13th consecutive year of positive comparable store sales growth in fiscal 2021. I will now discuss some of our strategic pillars of growth beginning with new store growth. We had a busy third quarter opening six new warehouse stores compared with three in 2020. We opened one warehouse store in July, two stores in August and three stores in September. We remain excited about growing our brand awareness and market share in suburban locations within larger MSAs as we look to the future. To that end some of our third quarter warehouse store openings included successful new stores in the towns of Commack and Bohemia Long Island. These openings bring the total to three warehouse stores that we now operate on Long Island. We also opened a new warehouse store in the suburban market of Waltham Massachusetts bringing the total to three stores that we operate in the Boston market at the end of the third quarter. Year-to-date through the third quarter of fiscal 2021, we have successfully opened 20 new warehouse stores bringing our total warehouse store count to 153 warehouse stores operating in 33 states. We intend to open seven new warehouse stores in the fourth quarter of fiscal 2021 compared with five in fiscal 2020. As a result, we will have opened 27 new warehouse stores in fiscal 2021 representing 20.3% growth from fiscal 2020. We intended on opening two design studios our small-format stores located in densely populated higher-income metropolitan markets late in the fourth quarter of fiscal 2021 in Miami, Florida and Houston, Texas. However, delays in the supply chain where we source unique fixtures for the design studios will likely push these openings into January of 2022. Our strong third quarter and year-to-date results served to reinforce our belief that the new store classes of 2020 and 2021 will likely represent the most robust first year sales and profit classes in our history. The improvement is from our real estate team increasingly bringing preferred site options with lower occupancy costs compared with prior years. Additionally, we have improved our grand opening cadence in 2021 resulting in more operating weeks. Furthermore, the improving performance results reflect the excellent execution among our merchandising, construction, new store visual merchandising, training, marketing and store teams. Moving on to our second pillar of growth growing our comparable store sales. Fiscal 2021 third quarter comparable store sales increased 10.9% from the same period last year and 14.1% on a two-year compound annual growth basis from the third quarter of fiscal 2019. Both comparable store sales growth measures are above our long-term target of mid to high single-digit comparable store sales growth. Monthly our comparable store sales increased 11.5% in July, 10.5% in August and 10.8% in September. We are happy with our third quarter sales exit rate and the start to the fourth quarter of fiscal 2021 where our comparable store sales are up 16% quarter-to-date. A better way to look at our comparable store sales increase is on a two-year compounded annual growth rate basis due to COVID-19. And on that basis our quarter-to-date comparable store sales are up 18% the highest of the year. Our fiscal 2021 third quarter comparable ticket increased 8.3% from the same period last year and 4% on a two-year compound annual growth rate basis from 2019. The increase in fiscal 2021 third quarter comp ticket is due primarily to a mix benefit of selling more better and best products and to a lesser extent certain retail price increases we took in the second half of the quarter to mitigate higher costs. Additionally, comparable store sales in our Pro business exceeded our homeowner business, which had a favorable impact on our ticket. Our fiscal 2021 third quarter comp transactions grew 2.4% year-over-year and a robust 9.8% on a two-year compound annual growth rate basis from fiscal 2019. The two-year solid growth rate in our transactions reinforces our belief that we are gaining market share. We continue to see customers moving up to the better and best price points within our merchandising assortments. They will often find new formats, sizes, innovations in performance higher-end materials on-trend visuals that run the spectrum of style and visual preferences. Let me now turn my comments on how we are navigating the constraints in the global supply chain. As we discussed during our fiscal 2021 second quarter earnings call, we added significantly more capacity this year to our ocean and North American logistics to align with our strong growth particularly from Asia, Europe and Brazil. We have increased our agreements with dedicated fleet carriers one-way asset-based carriers and ocean carriers to secure additional capacity and minimize costs where we can. That said, we continue to selectively use the spot market to work down the backlog on specific SKUs which drives an increase in our supply chain cost for those shipments. We have also been creative with our inbound freight by adding non-containerized options and taking advantage of additional capacity such as new services or extra loader vessels. We believe that these supply chain strategies combined with our broad assortments have enabled us to offer our homeowners and Pros alternative products where some out-of-stocks have occurred elsewhere. Additionally, we have onboarded multiple new providers to carry our freight expanded our ports of entry and increased our transload activities in various ports. We believe these actions and our ability to pivot to multiple alternatives is a clear competitive advantage in these challenging times, particularly when compared with independent hard-surface foreign retailers. Moving on to the elevated cost headwinds that have emerged from the disruption in the global supply chain. We like many companies continue to face higher supply chain costs and select product cost increases from higher raw material, labor and energy costs that will be a headwind to our gross margin rate in the fourth quarter of fiscal 2021 and into fiscal 2022. As Trevor will discuss in more detail over the immediate term, we believe these cost headwinds will change the complexion of our P&L as supply and demand remain unbalanced. That said we are uniquely well-positioned to grow our market share during the demand and supply chain turmoil from flooring retailers that cannot effectively manage the growing complexity and rising costs as evidenced by our transaction growth and overall sales momentum. As a reminder, we estimate that 60% of the industry sales are sold through hard-surface specialty retailer’s, small independent hard-surface retailers and distributors. Our third strategic pillar of growth is expanding our connected customer experience. We continue to invest in our connected customer capabilities to deliver what we feel is an unmatched and seamless personalized customer experience across our desktop, mobile and store selling channels. As a reminder, 79% of our customers who purchased in the stores said they had been to our website, and 71% of customers who bought online said they have been in the store. Our warehouse stores are integral to our website revenues as approximately 80% of online revenues are picked up in stores. The investments we have made in e-commerce over the last several years resonate with our homeowners and Pros leading to improving conversion and a significant increase in our e-commerce sales penetration rate. Our year-to-date fiscal 2021 e-commerce sales penetration rate is 15.9%, up significantly from 9.7% in 2019. Our fiscal 2021, third quarter e-commerce sales increased 34% year-over-year. When measured on a two-year compound annual growth rate basis, our third quarter e-commerce sales grew 67% from 2019. Our fourth pillar of growth rest in the investments we are making in our Pro and commercial customers to grow our market share. Our strategy is to expand our Pro wallet share particularly among returning top Pros, resulted in total and comparable store sales growth that exceeded the company average in the third quarter of fiscal 2021. We are thrilled that our top Pros are shopping more often and spending more with us to build lifetime value. Our third quarter Pro sales penetration rate increased year-over-year and exceeded the prior two fiscal 2021 quarters and the year-to-date rate. We believe our Pro sales could exceed $1 billion in fiscal 2021 another company milestone. We attribute the improvement to Pros increasingly seeking retailers with trend right, low-cost products, high on-hand job lot quantities and better lead times to complete their projects, as well as great relationships from our Pro desk. As we have said many times, we believe our Pro Premier Rewards or PPR loyalty program credit offerings and Pro education events enable us to grow our market share and build lifetime value with Pros. As we look to the future, we see opportunities to further accelerate membership growth and our market share by introducing PPR enhancements including loyalty tiers, SKU-based bonus point promotions, and Pro credit card incentives that will further drive engagement. Fiscal 2021 third quarter commercial sales growth from our regional account managers or RAMs exceeded the company average. While commercial sales from our regional account managers are small relative to the size of our retail business, we are excited about the growth potential and added five new RAMs in the third quarter of fiscal 2021 towards our plan of adding 16 in fiscal 2021. Over time, we expect commercial sales to become a material part of our growth. We will leverage Floor & Decor's core strengths in merchandising and direct sourcing, as well as the vast industry experience and value proposition Spartan Surfaces now brings to our portfolio. Let me now discuss our progress with our design services the fifth pillar of our growth. As we have discussed in the past, we are focused on building a consistent high touch best-in-class and seamless designer service experience for our homeowner and Pro customers. We have refined our strategies to attract and retain high-caliber designers and recently added three new divisional design services directors across the US. We continue to enhance our design opportunity under this new leadership structure and use the unified metrics, across all of our warehouse stores and now in the home. In the third quarter, we introduced an in-home design services pilot in Dallas and Houston Texas. Homeowners and Pros can make appointments with our in-home designers, in our warehouse stores or online with our design scheduler and choose among three different compelling design fees based on project needs. Before I close, I want to give a special thanks to our associates in Louisiana and the Northeast who responded to Hurricane Ida. Their extraordinary efforts allowed our stores to get back up and running quickly to serve our communities. I'm also proud of all our associates, who contribute to the West Fund, our associate assistance fund named after our founder Vincent West, which helped associates personally impacted by Hurricane Ida. The West Fund is one of our important ESG initiatives. And I'm also pleased that we hired a new Director of Sustainability during the third quarter of fiscal 2021. In 2022, we look forward to sharing more with you about these important initiatives and how they will strengthen our company. I will now turn the call over to Trevor to discuss our fiscal 2021 third quarter results in more detail.
Trevor Lang: Thanks, Tom. I also want to say how happy I am with our operating and financial performance in the third quarter of fiscal 2021. We have been successfully maneuvering through growing complexity in our supply chain and sequentially improved our merchandise in-stock levels, which is impressive considering our year-to-date total sales increased 28.8% on a compounded annual growth rate basis from 2019. Today product availability is even more critical to grow market share. Additionally, like many companies we face higher supply chain costs, rising product costs from higher raw material input costs, including, energy and pressure on labor rates. We have effectively managed our costs and been strategic about increasing prices to offset these broad cost pressures. As a reminder, any price adjustments that we may make will be rolling and we intend to keep our price leadership and protect our value proposition. We are fortunate to have broad assortments to make select strategic price adjustments without materially impacting our unit elasticity to date. As we have said in prior earnings calls, we drive profitability towards managing gross profit dollars rather than gross margin rate. We believe our strong fiscal 2021 third quarter financial results where adjusted net income increased 129% from 2019 demonstrates our ability to grow our market share and successfully manage our profitability during these industry-wide challenging period. Let me now turn my comments to some of the line items in our fiscal 2021, third quarter income statement, balance sheet and statement of cash flows, and then discuss how we are thinking about the remainder of fiscal 2021. Let me begin with our gross profit. We are pleased that our fiscal 2021, third quarter gross profit increased 24% to $365 million $300,000. The increase in gross profit was driven by a 28% growth in total sales partially offset by a lower gross margin rate. Our third quarter gross margin rate decreased a better-than-expected 130 basis points to 41.7% from 43% last year. The decrease in gross margin was primarily due to higher supply chain costs. As a reminder, our fiscal 2020 third quarter and fourth quarter gross margin rate, increased 200 basis points and 90 basis points respectively from 2019, adjusting for unique items called out in our previous non-GAAP reconciliation and the impact of the 53rd week in 2020. For that reason, we said in our second quarter earnings call that we expected our fiscal 2021 third quarter gross margin rate, to be lower on a year-over-year basis but above our fiscal 2019 third quarter rate of 41%. Turning to our fiscal 2021 third quarter expenses. Our third quarter selling and store operating expenses increased 27.5% to $218 million $700,000. The increase was primarily from the opening of 25 new stores since September 24, 2020 and additional staffing to support our sales growth. As a percentage of sales, our selling and store operating expenses rate decreased better-than-expected 10 basis points to 24.9% from 25% in the same period last year. We are pleased with our selling and store operating expenses rate leverage, considering last year we grew our store units by 13% compared to 20% new store unit growth this year. Additionally, last year we achieved extraordinary expense leverage in the third quarter of fiscal 2020, when our store staffing was not yet fully aligned with our accelerating sales momentum. On a comparable store basis, our fiscal 2021 third quarter selling and store operating expense rate leveraged approximately 80 basis points from the same period the previous year, as we leveraged advertising and occupancy costs on higher sales. The 80 basis points decline in fiscal 2021 third quarter comparable store selling and store operating expense rate is on top of leveraging approximately 220 basis points in the third quarter of fiscal 2020. Our third quarter general and administrative expenses increased 33.6% to $52,500,000. The increase is primarily due to cost to support our store growth including increased store support staff and higher depreciation related to technology and other store support center investments. As a percentage of sales, G&A expense was in line with our expectations increasing approximately 30 basis points to 6% from 5.7% from the same period last year, primarily due to the amortization of intangible assets acquired from Spartan Surfaces and other non-payroll-related general and administrative costs. Our fiscal third quarter 2021 preopening expenses increased 113.5% to $10,700,000. The increase is primarily the result of an increase in the number of stores we either opened or were planning to open compared to the prior year period. We opened six warehouse stores during the 13 weeks ended September 30, 2021 compared to opening three warehouse stores and one design studio during the 13 weeks ended September 24, 2020. Our fiscal 2021 third quarter EBIT increased 5.8% to $83,400,000. Adjusted EBITDA increased 12.7% to $120,200,000. Our adjusted EBITDA margin decreased 190 basis points to 13.7% from last year's record 15.6% primarily due to higher freight costs that impacted our gross margin rate as well as higher preopening expenses as we ramped up our new store growth from 13% last year to 20% this year. Our fiscal 2021 third quarter effective tax rate was 9.3% compared to 10.4% during the same period the previous year. The decrease in the effective tax rate was primarily due to higher excess tax benefits related to stock option exercise during the current quarter compared to the same period in the prior year. As a result, our fiscal 2021 third quarter provision for income taxes was $7,600,000 compared to $8 million in the same period last year. Our fiscal 2021 third quarter GAAP net income increased 8.5% to $74,600,000. Fiscal 2021 third quarter GAAP diluted earnings per share increased 6.2% to $0.69. Our adjusted third quarter net income increased 8% to $64,200,000. Adjusted diluted earnings per share increased 7.1% to $0.60. Our third quarter weighted average diluted share count was 107.5 million compared to $106,400,000 million during the same period last year. A complete reconciliation of our GAAP to non-GAAP earnings can be found on today's earnings press release. Moving on to specific items in our fiscal 2021 third quarter balance sheet and cash flow statement. As Tom mentioned in his prepared remarks, we have taken multiple actions to build our inventory to support our strong sales growth. To that end, our third quarter net inventory increased 39% from the same period last year and 27% year-to-date. The growth compares favorably to the second quarter when our inventory was up 15% from the same period last year and up 5% year-to-date. We expect our fiscal 2021 year-end inventory to increase to approximately $900 million to $1 billion, up about 40% to 50% from fiscal 2020. The expected increase in our inventory is being driven primarily by two investments. First, we are investing in improving our in-stock inventory in key SKUs. And second, we intend to bring in a portion of the Chinese New Year inventory a couple of months early landing in November and December to try to mitigate the current international container capacity issues that exist. Notwithstanding this inventory growth we are experiencing an all-time high in our inventory turnover. Moving on to our capital expenditures. Through the 39 weeks ended September 30, 2021, our capital expenditures totaled $346,100,000 including capital expenditures accrued at the end of the period. As we look forward, we expect our annual fiscal 2021 capital expenditures to be approximately $455 million to $475 million unchanged from our prior guidance. We expect our fiscal 2021 capital spending to be funded by cash flow generated from operations and existing cash on hand. As of September 30, 2021, we had $708,900,000 in unrestricted liquidity to support our growth including $330,100,000 in cash on our balance sheet. Let me now turn to how we're thinking about the fourth quarter of fiscal 2021. We are still operating in a solid macroeconomic and housing market. Existing home sales remain elevated at 6.3 million annualized units in September and the 30-year mortgage rates are hovering around 3%. Home prices continue to be well above last year and 80% of the homes people live in are 20 years old – 20 years or older and there is a natural replacement cycle that occurs due to trend and maintenance. The secular demand for homes continues to exceed available supply which we believe will continue to lead to continued growth in home prices to support home reinvestment projects. Our in-stock inventory positions have improved, which we think are better than many of our competitors. Our merchandising teams have also done a great job with on-trend and innovation. With our Pro business growing at a faster rate than our homeowner business along with a modest increase in retail due to higher cost we see an elevated ticket. As Tom mentioned in our fourth quarter comparable store sales have accelerated both on a one and two-year basis driven by ticket. We are optimistic about the prospects of a sustained economic recovery in the final quarter of fiscal 2021 and into 2022 but we recognize that business risks remain elevated. That said, let me provide some comments about the fourth quarter and fiscal 2021. As we look forward we face rising product and freight costs from the capacity challenges in the global supply chain. While we have plans to manage these higher costs effectively, they are likely to change the complexion of our income statement over the intermediate term. To mitigate these rising product and freight costs and related gross margin rate pressure, we have plans to raise prices on certain products. We believe these actions coupled with our underlying organic growth could lead to a rate of comparable store sales growth in the short term that could be above our longer-term comparable store sales growth targets of mid- to high single-digit growth. As Tom mentioned, our quarter-to-date comparable store sales was up about 16% on top of the very healthy comparable store sales growth of 20.4% quarter-to-date last year. As discussed on prior calls, we are likely to see a year-over-year decline in our gross margin rate in the second half of 2021 due to the outsized gross margin rate increases last year as well as rising costs this year. Our fiscal 2021 fourth quarter gross margin rate is expected to be approximately 39% to 40%. I should also note that the acquisition of Spartan Surfaces is expected to modestly lower our gross margin rate as commercial gross margin rates are below retail. Turning to our selling and store operating expenses. We expect our fiscal 2021 fourth quarter selling and store operating expenses to leverage compared to the fourth quarter of fiscal 2020, an approximately 26% or slightly lower. As a percentage of sales, our fiscal 2021 fourth quarter pre-opening expenses are expected to be about 1% of sales in line with the fourth quarter of fiscal 2020. In the fourth quarter, our general and administrative expenses are expected to be similar to the amount we spent in the third quarter of fiscal 2021. We plan on depreciation and amortization to be about $32 million and interest expense to be approximately $1.5 million. Diluted weighted average shares outstanding are estimated to be 107,700,000 and our tax rate is estimated to be slightly above 24%. As a reminder, this guidance does not consider the tax benefit due to the impact of stock option exercises that may incur in the fourth quarter of fiscal 2021. Let me close by saying our entire executive team is incredibly proud of our performance in 2021. Operator, we're now ready to take some questions.
Operator: Thank you. We’ll now be conducting your question-and-answer session. [Operator Instructions] Our first question today is coming from Kate McShane from Goldman Sachs. Your line is now live.
Kate McShane: Hi, good afternoon. Thanks for taking our question. Trevor, I wondered if you could talk a little bit more about the actions you're taking with your inventory, specifically what you mentioned with regards to the Chinese New Year and bringing that in early. Could you maybe explain a little bit how that will work and what that will do for your inventory standpoint by the end of the year?
Trevor Lang: Yes, Kate. We do plan on bringing our inventory in. I think you heard me say, we're going to expect it to be between $900 million to $1 billion, which will be up 40% to 50% over last year. And just as you guys are all reading in the paper, you're probably seeing with the other companies you cover, it's difficult sitting out there. And so the supply chain team came to us early on and said, hey, capacity is getting tough. We're going to bring in some inventory earlier than normal. And we said, good, let's do it. We're pleased that, we did make that decision. So it was really just a timing thing. That inventory normally would have landed probably early next year. We're just planning to bring it in earlier this year.
Kate McShane: Okay. And of the comp the quarter-to-date comp that you highlighted, can you talk about ticket versus transaction? And once we do start to see maybe an easing of the supply chain, what do you think happens to pricing when that supply chain starts to loosen up a little bit more?
Trevor Lang: Yeah. I think when – the ticket this quarter is actually much more driven by better and best. Our merchants have done a great job selecting great products. Our stores and the website have done a great job showing those products. So the biggest driver of our ticket is again just driven by the better best. And you guys also probably noticed, or you will when you get a chance to read our 10-Q. Our laminate and LVT category continues to be our best-performing department. It's now our largest department. And we're winning all over there better and best. People are buying more square footage. They're picking the better products. The price increases that we had that, we instituted in the second half of the quarter were fairly modest and a very small piece of that 8% lift in ticket.
Operator: Thank you. Next question today is coming from Michael Lasser from UBS. Your line is now live.
Michael Lasser: Good evening. Thanks a lot for taking my question. Of the 350 basis points of gross margin degradation that you're guiding to for the fourth quarter is all of this coming from the increased supply chain cost that you're not able to pass along in the form of higher price increases? How long does this persist into next year? And does this structurally change Floor & Decor's gross margin?
Trevor Lang: Great question, Michael. These are very unique times and we're living in a very dynamic environment. So let me just start-off. All of our supply chain costs are increasing. So our international container costs are the largest component of our cost structure. Those costs are about double what they were. 80% of what we sell we believe is manufactured outside the United Sates. That stuff's obviously got to get to the United States. Duties and import fees have also increased. You guys will recall in August of last year, the USTR removed the 25% -- or added back the 25% tariffs. So we were paying more there. Our domestic costs are up about 25% over last year. Demurrage maybe a term you've never even heard before, but those are costs that the port charges when containers don't get in and back into the port quickly. L.A. as you guys have read is the biggest issue we're having. We have a big distribution center out on the West Coast. And those costs are still rising even at this point, right? We're seeing cost increase there. So that's the bad news. The good news is that, our supply chain team and our merchandising team, have done a fantastic job in managing that. So not only have we increased our inventory in this environment, where our costs are going up, we've been able to pass along those cost increases with really no effect on units yet. And as you guys have heard us say for many years, we try to manage to gross profit dollars. And so that, entire weight that you're seeing that we see as a decline we do believe is completely driven almost entirely at this point by supply – for supply chain costs. As we look into 2022, it's possible that we're also are likely that we're also going to see some possible cost increases from the vendors at some point right input costs are going up there as well. And our goal is to manage it the same way we have in the past, which we think we can pass along those costs. When we do our price comparative shopping, we feel great about our price differential versus the competition. And so probably, again, the other side of that equation, on the positive side is the fact that, our sales have increased as well, right? Tom mentioned that, our comps accelerated from a 10.9% in Q3 to I think we're 16% quarter-to-date. And so what we've said over the years is, what's happening. And then just the final piece of your question I want to answer is, it looks like some of these costs are going to be with us for a while maybe into 2022. I think as we look beyond 2022, you'd hope to see more ships in the water and more trucks on the road and some of those costs may come down. But as long as we're in this elevated cost environment, our expectation is the top line would likely be higher, the gross margin rate would be lower, but we still would get to a good gross profit growth and a good earnings growth again assuming the macro stays good.
Tom Taylor: Yeah. And Michael, I'd add, just a couple of thoughts to it too. The supply chain complexity is – it's partly cost, it's partly accessing product in our category. And the priority for us is to get the product within the stores. We do feel like this is an opportunity to take share. Our model is unique. We've got broad in-stock assortments. Pros expect to be able to get product and access product and our model allows them to do that. So this is not a structural change to our business. This is a moment in time. We have to manage through it. And over time things will normalize, but it's going to take -- it will take a little bit of time.
Michael Lasser: And Tom, how are you thinking about passing along these costs to the consumer? Because if we just roll through a 39% gross margin throughout 2022, it would suggest that maybe you don't see any earnings growth next year?
Tom Taylor: Well, we are going to -- as Trevor said, we'll continue to pass along cost as costs come in. But as the value retailer and hard to access product, we believe this is the time to take shares. So we'll be thoughtful in those price increases and manage the cost. And we believe that our top line will be better and we believe we're trying to manage to gross margin dollars.
Trevor Lang: Yeah. Just I do want to follow-up on that. I want to be clear. I understand the rate is a little bit lower than you've seen from us in a while but the top line is a lot higher too. So the strategy again -- you guys have heard me say a lot over the last three years is if the product cost us $1 and we were selling it for $2 if now that product is costing us $1.05 or $1.10 and we're selling it for $2.05 $2.10, we still get to the same gross profit dollars. You actually get more leverage through the rest of the P&L, because you're not having to handle that many more widgets. And so we still think we can get to a good profit growth. So we'll talk more about what our goals are for next year. But there's no intention on our part that we won't be able to achieve a good gross profit dollar increase and a good operating profit growth next year.
Operator: Thanks. Our next question today is coming from Steven Forbes from Guggenheim Securities. Your line is now live.
Steven Forbes: Good evening. Tom, I wanted to expand on your last comment there around share. So curious if you could speak to the in-stock levels that you're seeing in market among the independent operators you compete with? And then, from a customer behavior standpoint, both Pro and DIY, are you seeing customers migrate to the F&D brand in market because of the state of in-stocks in the independent channel, or do you think you're still experiencing a comp headwind from your in-stock levels?
Tom Taylor: There's a lot to that question. I'll do the best to hit all of those points and Lisa can chime in if I don't. Yes we are hearing and seeing as Trevor said in his comments earlier the majority of -- who we compete with are independent hard-surface flooring stores and the supply chain complexity is a bit of a headache for them. One on accessing products so their in-stocks aren't what they've historically been. And two it's hard for them to manage the price component. The supply chain costs are moving every day, so for them to if they have to special order a product for a customer it's hard for them to guarantee the price. When that happens both of that turns some of their customers who may have been loyal to them to us. And as evidence our Pro sales are outpacing, our DIY sales or our homeowner sales in the third quarter. We anticipate that to continue. As long as there is complexity and difficulty in the supply chain, people Pros have to access product and our model, has done a good job of providing that product for them. So I feel good about that. So I don't know Lisa, if there's anything you want to add on the competitive side?
Lisa Laube : No, I think that's right. I mean certainly with 13,000 independents out there everyone has a different story. Some are in better shape than others. But anecdotally what we do see as Tom said across the board is that it is harder to get products and the products that they are able to get is going to be more expensive. So we feel very good about -- although, we're taking some price as well that our competitive gap will remain. And we think that as we talked about the moat around our castle has never been stronger. And so we feel really good that in these type of challenging times that we're able to continue to take share.
Tom Taylor: I'd add two things that I left out that I think are relatively important. One we know from our customer research, historically that when we get a flooring Pro into our stores that we keep them. We're pretty sticky. Once they see the model and they see what we do, it's important. And we're getting some of those new Pros now because they've been loyal to an independent flooring store and they've been are having a harder time getting product than they have historically done. And then, two is our existing Pros, because of a small store base and convenience sometimes their jobs are too far away from the store and we don't get all the wallet share that we'd like to get. And we're seeing that we're getting the larger wallet share from some of our existing Pros too. Both of those are positive for us.
Steven Forbes: That's great. And then just a quick follow-up. I thought there was plans to expand into a new adjacent product category at some point here but maybe just update us on timing and if the supply chain challenges have delayed sort of the plans around the launch of a new category.
Lisa Laube: We're doing very well with all of the categories that we have. We do have two new ones that we're going to be testing. So that means 15, 20, 25 stores something like that. You are right. We were hoping to get those tested by November December but it's going to be more like January, February now. But we feel great about both of those and are on track to first quarter be able to test those. And then assuming that they will do well as all of our others have we'll continue to roll that out. But it was 1.6% of our sales in the third quarter and was the highest growth category albeit on a small base. But we feel very good about the customers' response to all the categories we've introduced so far.
Trevor Lang: Total sales up 28%. That adjacent category is up 140%. Again albeit from a small base but that category is performing very nicely.
Operator: Your next question is coming from Steven Zaccone from Citi. Your line is now live. 
Steven Zaccone: Great. Thanks very much. I wanted to follow up on the gross margin. So if we think about the fourth quarter how much of the pressure in the fourth quarter is an acceleration in inventory you referenced? I guess said another way should we think the fourth quarter is the peak of gross margin pressure and then it eases as we go through 2022, or is this level of pressure with the business well into 2022?
Trevor Lang: I think it's going to depend on what happens with the cost increases as we look forward because again I think what we're -- the environment we're in right now is that we're not in an environment where the cost have stopped going up. Most of the cost increases we've seen to date have been on the supply chain side. But with energy and commodity and other cost inputs going on it's possible that we're going to see some vendor cost increases as well. So -- and I think the way we account for our inventory we try to capitalize those costs effectively into the individual products. And so as we see these higher costs come in that's when we work with the merchandising team and the supply chain team then to push through retail. So maybe said simply we don't have our crystal ball that far out yet, but there's nothing for us to believe as we think about next year that we're going to be materially off the gross margin rates that we're projecting for the fourth quarter of this year.
Steven Zaccone: Okay. That's very helpful. Thank you. And then a question on new store openings for next year since you referenced that there were some supply chain delays that caused the push out of some design stores. Is there any reason to think you couldn't do 20% unit growth next year?
Trevor Lang: Not at this point
Tom Taylor: Not at this point. Yes. The problem we have with the design stores is just some unique fixtures that come from a certain part of the world that we can't access product. But for our regular stores we're in good shape.
Operator: Our next question is coming from Chris Horvers from JPMorgan. Christopher 
Chris Horvers: Thanks, evening everyone. So I guess my first question is on the acceleration in October from like a 10-ish kind of 11% to the 16%. To what degree is that price that you've taken versus mix benefit of Pro in the ticket? And was there any benefit from Hurricane Ida in there?
Trevor Lang: Great questions. Most of what we're seeing in the fourth quarter is still ticket. It's actually accelerated where it's -- the majority of it if not almost all of it is ticket in Q4. The pricing component for the acceleration still is very modest. It's a very small percentage of that 16% comp that Tom mentioned. And we are getting -- we estimate about 100 basis points in comp. Really we have one store in New Orleans. And then the stores in our Mid-Atlantic and Northeast primarily Pennsylvania New Jersey and New York we're seeing some benefit. And again we think that's about 100 basis points. So most of it is just an acceleration of better and best 100 basis points for Hurricane Ida. And the smallest of those is the pricing increases that we put in in the early part of the quarter. Now we think those price increases will be more material as we exit the quarter. But in the early part of the quarter they're pretty modest.
Tom Taylor: We're also seeing a slight mix benefit from laminate and LVP is out-comping the average at a higher ticket.
Trevor Lang: That's right. And the Pro ticket to your point the Pro ticket runs about 25% higher than our non-Pro ticket. And so as the Pros are doing more business with us that also drives a higher ticket.
Chris Horvers: Got it. And then you're seeing -- there's a fair amount of wage inflation and I know you've made investments in wages and labor both from a rate as well as an hours perspective. But it also seems like some of the I guess jobs that are less desirable than working in a store such as yours are seeing more wage inflation. So it seems like there's compression between let's say fast food and working at Floor & Decor as a starting hourly associate. How are you thinking about wage investments as we look forward into 2022, do you think there's a sort of next level of investment that you have to make to keep some of that gap wider?
Tom Taylor: Yes. I mean, look we -- Chris as you said, we've been thoughtful about that through the course of this year. We gave lots of increases across our associate base at the end of the second quarter. We have an achieved bonus that we pay to the associates when the stores perform and we have very good high, high percentage of our stores are achieving that bonus and a good percentage of those are ordered in a max bonus, which also helps our wage. We continue to look at it. We feel good about where our wage is today. Our starting wage is good. We feel like we're within market. We're able -- staffing challenges all year long they've been there. They haven't gotten any worse. It's almost a little bit of one market gets better, then another market gets worse, but that's our job. We have to react to that. But we'll monitor it, but we feel pretty good where we're at in the wage today.
Operator: Thank you. Our next question today is coming from Simeon Gutman from Morgan Stanley. Your line is now live.
Soham Bhonsle: Good evening. This is Soham Bhonsle on for Simeon. Just wanted to dig in on the DIY versus Pro dynamic here. It seems like the market is shifting to more Pro just as people get more comfortable with Pros coming in. But just wanted to get your thoughts on sort of the sustainability of this, right? It seems like backlogs are still there, but just thinking through the next couple of quarters on how that could help ticket and just the comp overall.
Tom Taylor: Yes. I think I'll take a stab at that. I would say that from a Pro perspective, we continue to hear that the backlog is very strong from our Pros. And so they've got plenty of work. I think people have been general been comfortable in letting professionals into their homes for a while and I think that continues and the backlog is strong. I think from a homeowner perspective, we're seeing -- last year was artificially inflated with the homeowner. They weren't able to go to restaurants. They weren't able to go to ball games. They weren't able to travel and that has definitely eased as we go forward. So it's a natural that Pros are going to continue to be busy, and it's expected that the homeowner is going to have other places to spend their time and spend their money. And I think that's what we're seeing. But we feel terrific about the backlog. And as evidence just look at our top line, I mean, the Pros are in they're buying. So we feel good about that.
Trevor Lang: In-stock matters. In-stock matters.
Soham Bhonsle: Right. And then I know much of the focus today is on gross margin, but just thinking about the SG&A line and OpEx. I mean, it feels like you guys are sort of have a better control on that line, right? How should we think about the levers as we go into next year? Is there an opportunity to maybe pull back some of the expenses as you sort of maneuver this volatility on gross margin, right? Can you just walk us through some of the puts and takes?
Trevor Lang: Yes. I think about it in halves. The first half of last year, we were still trying to get ramped up on staffing. So we were running a little bit light. Our sales were really strong throughout really all this year, but certainly the first half of the year. And so I think the first half of the year, we've got to make some investments back in the store. We ran a little light on labor in the first half of the year. Now that we've gotten our staffing up to levels that we're more comfortable with, we'll now roll in and go against last year where we were a little bit under staff, but that's not going to be a big driver. I think on the pre-opening expenses they really shouldn't change much. If anything we'll get a bit of a benefit, because we're actually going to own more of our stores next year. So we'll have a little bit less pre-opening expenses for those stores. And then as we get to the back half of next year when we're kind of going up against more comparable investments back into the store, I would expect to see a lot more leverage in the back half of the year. And then just back to the comment around gross margin, because it matters to sales if our sales are going to be elevated and driven more by ticket that generally leads to getting normal expenses a better leverage, because you're not really selling more units you're just driving a higher ticket, which allows you to get a little bit of leverage out of SG&A.
Operator: Thank you. [Operator Instructions] Our next question is coming from Lavesh Hemnani from Credit Suisse. Your line is now live.
Lavesh Hemnani: Hey, thank you for taking my questions. This one is for you Tom. In your prepared remarks you were talking about uncertainty related to the Pros from the rising lead times. I was just trying to figure out if that was even a concern this quarter did it impact sales growth?
Tom Taylor: Can you say that one more time?
Trevor Lang: Can you ask that question again to just slow the question down? It's hard to hear your concern.
Lavesh Hemnani: Sure. No problem. So my question is about the comment in the prepared remarks regarding the uncertainty for the Pros, because of the rising lead times for the products. I'm trying to understand if that was a factor this quarter and did you leave any sales on the table?
Trevor Lang: Yes. I think -- well, no I think it's benefited us. I think in the prepared comments it was, Pros can't have uncertainty about accessing product and the Floor & Decor model gives them the ability to have a reliable source of product. And I think in the competitive landscape that we're working in today with the difficulties in supply chain, a lot of folks are having a hard time accessing inventory. And when -- I'll use one category as an example, when we have 250 options of tile in a given Floor & Décor, if we're out of 10 SKUs, while that's problematic, there's 240 to choose from and a lot of people that we compete with don't have that benefit. So I think that's benefiting us. I think it benefited us in the third quarter. I think it's benefiting us even more in the fourth quarter, so far.
Operator: Thank you. Our next question is coming from Chuck Grom from Gordon Haskett. Your line is now live.
Chuck Grom: Hey. Thank you. Another great quarter. Just to circle back here on price. Just curious, how we should think about the degree or amount of price actions that you guys have taken so far in the month of October and I guess how much more could be established in November and December and into 2022? I guess what I'm trying to get a sense for is, if everything else holding equal, including transactions, I guess, what do you think the comp could be in the fourth quarter to get to that 26% SG&A as a percentage of sales?
Trevor Lang: One thing I would call out about Q4 comps. Last year, our comps got better every single month throughout the quarter. For example, October we comped 20.8% last year. And for the quarter we comped 21.6%. So our compares do get higher. The other thing, that's a bit of a technical item that we mentioned last year, but it's worth mentioning again this year. Christmas, the day of Christmas fell in the 53rd week. So that was a freebie where we benefited last year, we estimated maybe 130 basis points by not having Christmas in the 13 weeks of the fiscal year. This year Christmas moves back into it, because we don't have a 53rd week. So that's going to be a headwind of about 130 basis points for the quarter. And then, to specifically answer your question, the way the costs roll into our inventory we're on a weighted average cost basis, so as these costs come in, they sort of -- they take up our inventory up over time, because we turn our inventory three to four times a year, that cost just takes a little bit of time to weigh in. So that's why when we talked about having our price increases it's on a rolling basis. So as those costs roll up higher we then roll out those retails. And so, we do expect to continue to raise retails as we exit this year. And to date, we don't believe we've seen a lot of elasticity impact and we'll see obviously what the future holds, because obviously inflation is in things beyond just flooring and how the consumer is going to react when everything costs more, we'll have to see how that plays out.
Tom Taylor: Yes. And just on the pricing front, as Trevor said and we've said a couple of times, we're going to continue to pass price along as we have to. We're sensitive to our price spread. We think that we think we're getting a lot of new professionals in our stores. We think that this is not a structural change to the business. This is the moment of time and we want to be sure that when Pros -- Pros are going to give us a first chance if they've been loyal to a place where they now can't get product, now they're going to come into a Floor & Decor. And we think when they come into the store, they'll be sticky and they'll like what they see. So we're going to be sensitive to our price versus the rest of the market. And because of our inventory position, combined with our low price value, this is an opportunity for us to take more share.
Operator: Thank you. Our next question is coming from Karen Short from Barclays. Your line is now live.
Unidentified Analyst: This is [Indiscernible] on for Karen. Thanks for taking our question. Can you just talk a little bit about your new store waterfall? What is the average payback period per store now versus pre-COVID? And how has that maturity curve changed?
Trevor Lang: Yes. Our new stores are performing exceptionally well. As Tom mentioned, we've been saying for over a year now, it looks like the top line of the stores we're going to probably be above $15 million now. And the bottom line could be close to $3 million in four-wall EBITDA. And it wasn't that long ago that our stores were $12 million in sales and making $600,000. So we're doing fantastic new store payback. Those stores, even though the volumes have elevated nicely from where we were just a handful of years ago, when those stores go into the comp base, the first year the comps are materially higher than the mature stores. The second year they're still substantially higher than the more mature stores. The third year they get a little bit closer. And in the fourth year, between years four and seven, they'll sort of come into maturity based on whether it's a new market or an existing market. So, that's a lot of backdrop to say the waterfall is still very good for our newer stores until they get to again years four to seven depending on whether it's an existing market or a new market.
Operator: Thank you. Our next question is coming from Peter Keith from Piper Sandler. Your line is now live.
Peter Keith: Hey thanks guys. Nice job navigating a tough environment. Big picture just on the supply chain, it's obviously volatile but since you guys are kind of involved in this every single day, I'm just curious to get your perspective on the supply chain status. Do you feel like is it getting worse as you sit here today? Is it getting any better? What's kind of your real-time view?
Trevor Lang: I see it as -- and I'm looking at my partner who runs supply chain over there is that we're climbing the hill, but we're sort of seeing the top of it is what our hope is. And as we're sort of looking over and saying okay we see hopefully where it is now. And as we look into 2022 we hope it gets better. We think it's going to get better.
Tom Taylor: I agree.
Trevor Lang: I'm getting nods from my head of supply chain.
Tom Taylor: We have his microphone off, but he agrees.
Operator: Thank you. Our next question today is coming from Greg Melich from Evercore ISI. Your line is now live.
Greg Melich: Hi thanks. I'd love to go a little deeper on the geography of the P&L and the margin degradation. You mentioned a few times the extra sales the share gain. But did I hear you mention like a 26% or 28% or a leverage point either for the fourth quarter if we think about sales growth? And if we end up having 35% growth, is all of that leverage, or how much SG&A would you need to add back to get those sales with the higher ASPs?
Trevor Lang: I'm not sure I'm quite -- Greg maybe ask it one more time or a different way. I want to make sure I understand the question. So, I answer it correctly.
Greg Melich: Well, it's just gross margin is down 300-plus bps. So -- but you're passing through dollars not rate. So, if we think about SG&A leverage, you talked about some of the puts and takes first half versus second half. But I guess more specifically is how should we think about total net sales growth? Like if that ends up being 20%, could we expect to leverage that year-over-year in the fourth quarter?
Trevor Lang: I think again we'll talk about 2022 next quarter. I mean I think if things continue like they are preliminarily into the fourth quarter, you would see a higher level of elevated sales. You would likely get some hopefully leverage out of your SG&A and would lead to a good profit growth. The other thing I would mention this year, we've obviously, seen very outsized profit growth. If you look at our net income on a two-year basis our CAGR for Q1 was up 56% on net income, it was up 50% in Q2 and 51% in Q3. So, we're coming up against very high compares. So, that's something else we're going to take into consideration that our profits will grow next year, but not at the elevated rate that they grew this year.
Operator: Thank you. Our next question today is coming from Justin Kleber from Baird. Your line is now live.
Justin Kleber: Yes, thanks for taking the question. Just wanted to go back to the supply chain cost pressures and the impact on margin. Is the change from what you were saying 90 days ago a function of just the actual cost escalating, or is it more about the decisions you're making to secure and bring in as much inventory as possible including using more I guess spot rates?
Trevor Lang: They're a little intertwined, but more so that the cost structure has grown relative to where we were back in July.
Operator: Thank you. Our final question today is coming from Joe Feldman from Telsey Advisory Group. Your line is now live.
Joe Feldman: Hey guys. Thanks for taking my question. I wanted to go back to the out of stocks that you do have. Again I know you've said it's the transfer to another product has been pretty strong. But it does sound like that's an those are the areas where you are trying to accelerate or at least get some of those goods here more rapidly. I was just curious what are those in particular? Is it just like the basic subway tiles that people want or is it something more precious than that?
Tom Taylor: That is a difficult question to answer with 3,500 SKUs. I would say it would vary by department and it would be a little bit different answer by department. In general though, we've got the basics in stock. I mean our in-stock rate improved from last quarter to this quarter. And while it's not what our -- our in-stocks not historically what it's been, it's much better. I'd say that the category that is the most challenging is wood and there's lots of reasons for that. But the rest of the store we're getting in pretty good shape.
Operator: Thank you. We reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments.
Tom Taylor: Well thank you. I appreciate everyone's interest in our company and interest in our call and we look forward to talking to you in the next quarter. Thanks everybody.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.